Operator: Good day, all sites are now on line is in listen-only mode. At this time, it's my pleasure to handover the conference to moderator, James Perry, Vice President, Finance and Treasurer.
James E. Perry - Vice President and Treasurer: Thank you Colin. Good morning from Dallas, Texas and welcome to the Trinity Industries Fourth Quarter 2007 Results Conference Call. I am James Perry, Vice President Finance and Treasurer for Trinity. Thank you for being with us today. In addition to me, you will hear today from Tim Wallace, Chairman, President and Chief Executive Officer; Steve Menzies, Senior Vice President and Group President of the Rail Group; and Bill McWhirter, Senior Vice President and Chief Financial Officer. Following that, we will move to the Q&A session. Also in the room today is Charles Michel, Vice President, Controller and Chief Accounting Officer. A replay of this conference call will be available starting one hour after the conference call ends today through midnight on Thursday, February 28th. The replay number is 402-220-2650. I would also like to welcome to our call... our audio webcast listeners today. A replay of this broadcast will also be available on our website located at www.trin.net. Before we get started, let me remind you that today's conference call contains forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995 and includes statements as to estimates, expectations, intentions and predictions of future financial performance. Statements that are not historical facts are forward-looking. Participants are directed to Trinity's Form 10-K and other SEC filings for a description of certain of the business issues and risks a change in any of which could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements. On December 31st 2007, our borrowings at the corporate level were $450 million of convertibles subordinated notes, $201.5 million of senior notes and $3.1 million of other indebtedness. The leasing company's debt included $334.1 million of secured railcar equipment notes, $75.7 million of equipment trust certificates and $309.8 million outstanding under our railcar leasing warehouse facility. Our total debt to total capital ratio is 44% on December 31st 2007 as compared to 46% at December 31st 2006. Net of cash, our net debt to total capital ratio was 39% on December 31st 2007, the same is with ratio on December 31st, 2006. On December 31st, 2007 our cash position was $289.6 million. Last week, our leasing subsidiary, Trinity Industries Leasing Company, increased its non-recourse warehouse facility from $400 million to $600 million and maintained the availability period of the facility through August 2009. We anticipate a structured lease financing during 2008, but this increase combined with our cash at year-end at $289.6 million and our $425 million corporate revolving credit facility provide this with adequate liquidity to continue the growth of our lease fleet. In December 2007, Trinity authorized a $200 million share repurchase program through 2009. During the fourth quarter, we purchased 140,200 shares of stock in the open market for $2.9 million. We will provide details for our purchases when we report our results at the end of each quarter, now here is Tim Wallace.
Timothy R. Wallace - Chairman, President and Chief Executive Officer: Thank you James and Good morning everyone. I continue to be pleased with our results, 2007 was a record year for Trinity in many respects. Our revenues increased 19% to an all time high, a $3.8 billion. Majority of our revenue increased increase was derived from internal expansion initiatives. Our net income increased 27% to a record $293 million in dollars in 2007. This is the fourth year of strong revenue growth. Our revenues have increased more than $2.5 billion in last four years. This is over a 200% increase. All of our business segments continue to perform well during the fourth quarter. Our focus on operational excellence in manufacturing flexibility helped each of our businesses increased their profitability. We will continue to investment in resources to improve and grow our businesses. During 2007 we continue to ship productions product lines with the greatest opportunities for growth and returns. Although the U.S. economic growth has moderated, we expect 2008 to be a good year for Trinity overall. Our railcar, barge, and structural wind towers business entered the New Year with the strong backlogs totaling more than $4 billion. At this point, we continue to see railcar demand moderating and primarily driven by replacement needs. We expect quarterly results for our Rail Group to be a little choppy until demand for railcars improves. In all of our businesses, we remain highly focused on execution while working to align sales with existing production run rate. Our employees are highly seasoned and adapted adjusting to changing market conditions. In 2007, our North American railcar shipments increased 8.5% to approximately 27,370 units. Trinity rail is focused on maintaining similar production levels during 2008. This will allow our rail businesses to retain many of the efficiencies they realized during the past few years. Predicting precise demand levels on an ongoing basis is difficult in moderate markets. Availability of equipment for rapid delivery is crucial in this type of the market. Fortunately, our broad product line allows us to pursue a wide variety of orders. Steve will provide more insight into Trinity rails plans during his update. Our Rail Leasing and Management Services Group also had a great quarter. Our leasing company continues to grow while performing a strategic growth for Trinity. We will continue to invest in our future by increasing the size of our lease fleet. The formation of TRIP Holdings during 2007 provided additional financial resources and greatly enhanced our market flexibility. Steve will also provide more details about our Leasing and Management Services Group in his report. Trinity's Inland Barge Group continues to perform well. During 2007, our Inland Barge Group's profitability improved and shipments increased by 25%. The increase in operating profit is directly related to productivity benefits associated with long production runs. During the fourth quarter, our Barge Company's backlog remains steady. Our customers continue to visit with us about opportunities for future business. We are exploring a variety of ways to enhance our productivity and expand product offerings. Our barge backlog extends into 2009. Our Construction Products Group continues to perform well. Demand continues to be steady; weather conditions in the South West and part of the United States were construction friendly during the first part of the fourth quarter, but deteriorated slightly in December. So far this quarter the weather in Texas has been moderately construction friendly. Our highway products business is expecting steady demand during the construction season. During 2007, we completed seven acquisitions of small bolt-on concrete aggregate and asphalt businesses. We expect to continue making similar acquisitions. We are optimistic about the potential for steady growth and improvement in this business. Our Structural wind towers business continued to expand during 2007. We grew our capacity by converting an idle railcar plant located in southern Illinois to wind tower production and by constructing a new facility in Mexico. Wind tower structures are currently being produced in our new plant. I am very proud of the success we are having as we expand this business. We broke ground on our new plant in Mexico during the second quarter of 2007, and we expect to ship towers this month. Also during 2007 our wind towers structures business were synergistically with several of Trinity's other businesses. Our concrete business provided concrete for wind tower foundations, and our trucking transportation company delivered wind tower structures to job sites. Demand for wind towers is robust. Our order backlog was more than 700 million at the end of the year, and we have a number of enquiries in the pipeline. We continue to explore additional opportunities to serve the North American wind energy market. We are the largest structural wind tower manufacturer in North America, and have aggressive growth plans during the next three to five years. In our five year growth plan for this business, we expect to reach an annual revenue level of between $800 million and $900 billion. In summary, I am very pleased with our fourth quarter results and I remain optimistic about the opportunities for our businesses. We continue to benefit from the investments we made during the past decade. Our larger businesses have strong backlogs and we are a highly flexible company. We are keeping a close watch on the vital signs in the markets we serve and are prepared to respond to the economy or demand shift in either direction. We continue to make additional investments that should benefit us for the future. Trinity currently has a great deal of positive momentum, a strong balance sheet, and a great team of people working together. I expect us to continue to capitalize on opportunities. At this time, I will turn it over to Steve Menzies for his comments.
D. Stephen Menzies - Senior Vice President: Thank you Tim, good morning. TrinityRail continued to perform well during the fourth quarter 2007. Our Shipments increased year-over-year, our order backlog increased from the third quarter and our lease fleet continued to grow. TrinityRail's shipments increased 7.1% to 6,745 railcars compared to the fourth quarter in 2006. For the year 2007, we shipped approximately 27,370 railcars, an 8.5% increase compared to the prior year. We expect our production momentum to continue during the first half of 2008, although accurately forecasting exact timing of shipments is becoming more difficult given the current dynamics of the market. As Tim mentioned, we expect overall railcar demand to fluctuate throughout 2008. As a result, we are providing shipment information for the first six months as opposed to the first quarter. We believe these figures provide a more reliable estimate of shipment activity. At this time, we expect shipments totaling between 12,500 and 13,500 railcars during the first half of 2008. A key component on our marketing strategy is ensuring railcars are available when our customers need them. Thus far we have been very successful at anticipating the needs of our customers. Our flexibility and our ability to meet customer delivery requirements, often on short notice are key competitive factors. One of our goals is to retain the operating efficiencies we gained during the last few years. By keeping our production volumes stable, we should be able to account business. Continued improvements in operating efficiencies, however will only partially offset the downward pricing pressures we anticipate during 2008. We do expect our operating margins to decline under a highly competitive environment. With regard to the overall railcar market and issued railcar orders during the fourth quarter continued at a moderate pace. Approximately 24,100 railcar orders were placed industry wide during the fourth quarter until the year 2007 industry orders were approximately 54,300. Orders for the fourth quarter of 2007 were skewed upwards by long-term multi year orders reported by other railcar manufacturers. At the end... at the year-end, the total industry backlog stood at approximately 76,700 compared to a backlog of 67,700 railcars at the end of the third quarter. Trinity's order backlog comprises 42% of the total industry backlog. Recent order enquiry levels indicate first quarter 2008 orders could be in line with 2007 order levels. Independent forecast for 2008 railcar production in the low 30,000 railcar range, which is consistent with the market inputs we reviewed. We also believe given today's economic environment in North American fleet attrition rates as demand could continue at similar rates through the first half of 2009. The replacement cycle for an aging North American railcar fleet will be consistent driver for demand providing a theoretical floor for railcar production. As you know, railcar demand shifts periodically from car types to car type, and fluctuates from quarter-to-quarter. Order levels in the fourth quarter reflected steady demand for auto racks, multiple types of covered hoppers and tank cars, improving demand for coal cars and continued weak demand in select market such as intermodal and boxcars. More than 60% of the total railcar orders for the year were covered hoppers and tank cars driven by growth in renewable fuels, improved grain export shipments and chemical loadings growth. The need to replace smaller, less efficient covered hoppers of tank cars has also boosted demand for these car types. During the fourth quarter of 2007, TrinityRail received approximately 7,310 railcar orders. Many of these orders extend current production lines for a variety of railcars. Specifically we received orders from third party leasing companies, railroads, industrial shipments and utilities for covered hoppers, coal cars, bus cars, open top hoppers, flat cars, auto racks, and tank cars. The diversity of our orders reflects the broad breadth of TrinityRail's product line. Total railcars orders for TrinityRail 2007 were approximately 23,270 or 43% of the total railcar margin. At the end of fourth quarter, TrinityRail's firm order backlog was approximate 31,870 railcars compared to approximately 31,300 at the end of the third quarter 2007. Our strong ordered backlog, which extended through 2009, produced good visibility for our production plans. This visibility provides important benefits. It enables effective production planning, positions us to pursue additional operating efficiencies and allows us to retain our highly trained and skilled labor force. Our motivated force is keenly focused on achieving further efficiencies as well as reducing production recaps. Our planned book [ph] production for 2008 includes a number of open slots weighted towards the second half of the year. We have experienced some shifting of existing orders from 2008 to 2009 for railcar serving the renewable fuel market due to plan construction delays created some void in our 2008 production plans. We believe we are now firmed our production plans for renewable fuels orders for 2008 production. We will continue to aggressively pursue additional orders, which will extend for existing production lines to maintain current production rates. Our flexibility will allow us to readjust production rates up or down as necessary. We are building railcars to hold the future sale to bridge or extend production continuity. Our broad product line operating possibility and ability to deliver railcars when our customers require them provides us a competitive advantage to secure orders and sustained production. We are particularly pleased with the production growth and operating efficiencies of our Mexico facilities. During 2008, we expected to produce 35% to 40% of our total railcars delivers in our Mexico plants. We have additional capacity of Mexico that we can use when necessary. We continue to invest resources in Mexico to expand our ability to manufacture additional railcar types, which will further enhance our operating flexibility. Our Railcar Leasing and Management Services grew continue to grow tanks cars fleet during the fourth quarter. Trinity well ships 1,695 new railcars to customers of our leasing company during the fourth quarter, all subject to firm non-cancelable leases. This represented about 25% of TrinityRail's fourth quarter railcar shipments. During the fourth quarter, we sold approximately 1,500 railcars from our lease fleet including 1,180 railcars to TRIP Holdings, the independent leasing company formed last summer. Sales from our leased fleet are an ordinary course of business to balance our portfolio bundled with new railcar sales and the response specific customer request. As a result of these fourth quarter sales and our fleet additions, lease fleet grew to approximately 36,090 railcars compared to 30,550 at the end of 2006. Overall demands for Railcar Leasing Services continue to increase as evidenced by our strong leasing backlogs. Trinity's committed lease backlog as of December 31st, 2007 was approximately 17,730 railcars or 56% of our total production backlog. We continue to see a long-term trend for rail roads and industrial producers to use our capital resources to acquire assets, which are core to their businesses while relying on leasing or operating assets such as railcars. The investment on our leasing business provided several benefits. It helps us to develop the long-term relationships with the end uses of our railcars and provides an important distribution channel for our railcar manufacturing. Additionally, it brings efficiencies to our production planning and generates a significant long-term stable earnings stream. Our lease fleet utilization remains at more than 99% at the end of 2007. The average age of the railcars in our lease fleet is 4.5 years and the average remaining lease term was approximately 5.5 years. These two key operating metrics give support to our abilities to maintain high fleet utilization. Our newer highly productive railcars are less likely to be return from lessees upon lease expiration during the market downturns. Customers typically return older, less efficient railcars as they downsize their fleets. Our high average remaining lease term provides a hedge against short-term market downturns, therefore mitigating some of the marketing risks. Renewal rates have continued to increase as the railcars available for renewal or place into service during a low lease rate environment and in 2002 to 2004 time period. In summary, TrinityRail is well positioned to respond to the challenges of the market in the near term and the opportunities available in the launch. Our operating flexibility and product line have enabled us to meet shipping demand among various railcar types thereby building our strong railcar backlog. By sustaining current production levels, we can retain our skilled labor force, realize further operating efficiencies and be ready for market recovery. We continue to commit considerable resources to meet the growing leasing needs of our customers. The growth of our leasing business have supported our production plans while enhancing Trinity's long-term financial stability. I am very pleased with the overall performance of TrinityRail and with the more than 7,000 men and women dedicated to achieving our goals. I will now turn it over to Bill McWhirter.
William A. McWhirter, II - Senior Vice President and Chief Financial Officer: Thank you Steve and good morning everyone. My comments relate primarily to the fourth quarter 2007. We will file our Form 10-K this morning. You will find more details there about our full year. For the fourth quarter of 2007, we reported our earnings of $0.97 per diluted share from continuing operations. This compares with $0.72 per share from continuing operations in the same quarter 2006. Revenues for the fourth quarter 2007 increased 32% over the same quarter last year to a record $1.1 billion. Earnings from continuing operations exceeded the high end of our expectations by $0.05 per share. These positive results were primarily due to the following: excellent operational performance in our Rail and Barge Groups, railcar sales for our leasing company that exceeded our estimates, and a partial offset due to a year-end cash true-up. Moving to our Rail Group; revenues for this group increased 10% on a quarter-over-quarter basis. Rail Group sales to Trinity's Leasing and Management Services Group were $137 million in the fourth quarter of 2007 with profits of $22.2 million or approximately $0.18 per diluted share. This compares with sales to our Leasing Group in the fourth quarter of 2006 of $184 million with profits of $33 million for $0.27 per diluted share. These inter-company sales and profits are eliminated in consolidation. Our margin results for the Rail Group were 12.9%. At this time, we anticipate margins for the Rail Group of between 11% and 12% for the first quarter. As we look forward, we expect margins between 8% and 10% for the remaining three quarters of the year. This margin level represents the competitive pricing environment and the mix of car types results during the year. The Rail Group back log as of December 31, 2007 consisted of approximately 31,870 railcars with an estimated sales value of $2.7 billion. Our railcar backlog is broken down as follows: backlog to our leasing company is $1.4 billion; backlog to TRIP, $500 million and backlog to third parties $750 million. Now, turning to our Inland Barge Group, the Inland Barge Groups fourth quarter performance was once again very strong, posting revenues of 137 million and operating profits of $26.3 million. As a result, the Inland Barge Group continues to reflect a high level of operational expense. This group's backlog as of December 31, 2007 totaled approximately $753 million. This compares to $464 million one year ago. We anticipate the Inland Barge Group use of between $130 million and $140 million in the first quarter. Operating margins are expected to range between 15% and 17% during the quarter. Now moving to the Energy Equipment Group; during the fourth quarter, this group remained at the top141 million, a new record. Operating profits were 16.7 million with an operating profit margin of 11.8%. The Energy Equipment Group's revenue growth continues to be driven by our wind tower business. We anticipate the wind tower business will account for approximate $380 million in revenue for 2008 representing a 54% growth from 2007. Revenues for our Construction Products Group grew slightly when compared to the same quarter in previous year. Operating profit was $13.3 million for the quarter representing a 10% improvement over the last year. Our railcar leasing and management services grew reported revenues of $194 million compared with $140 million in the same quarter of 2006. Operating profits was $47 million or $17.8 million resulting from car sales. During the fourth quarter, car sales from the fleet were $121 million. TRIP accounted for $96 million of those sales. In addition, TRIP purchased $94 million for the railcar from our manufacturing companies during the fourth. As we have discussed in the past, TRIP is a leasing company formed in June of 2007. It has committed to purchase approximately $1.4 billion worth of rail cars during two-year period while Trinity railcar manufacturing company and leasing company. Trinity holds a 20% equity ownership in TRIP through a subsidiary and is responsible for managing the cars. All sales to TRIP from railcars was firm leases in place independent third parties. TRIP has the capability to expand its purchases beyond its current commitment of $1.4 billion. TRIP benefits Trinity by allowing our leasing company to continue its core competency to lease origination while realizing a portion of the economic upside associated with railcar leasing. For 2008, we now anticipate existing $650 million and $750 million and net additions to our Trinity leasing fleet. As a form of clarity, net fleet additions are the fair market value of cars added to our fleet plus the proceeds of cars sold from the fleet. Moving to our consolidate results; for 2008 we expect non-leasing capital expenditures of between $180 million and $190 million. During the first quarter, we expect to defer approximately $250 million revenue and between $28 million and $32 million in operating profit as we grow our leasing business and sell cars to TRIP. This represents between $0.23 and $0.26 per diluted share. We anticipate earnings from continuing operations for the first quarter 2008 to range between $0.69 and $0.74 per diluted share. Included in these projected results, our car sales from our fleet of $38 million versus $121 million in the fourth quarter of 2007. Our 2008 full year guidance is slightly improved at this time at $3.20 to $3.50 per diluted share. Included in our assumptions for 2008 are normal weather conditions, no unanticipated adverse resolution on legal matters, and railcar demand remaining at moderate levels. In our earnings release yesterday, we provided a reconciliation of the non-GAAP term EBITDA. EBITDA from continuing operations for the fourth quarter 2007 was approximately $182.3 million as compared to $129.1 million in the same quarter last year. At this time I will turn the presentation back to James for the question-and-answer session.
James E. Perry - Vice President and Treasurer: Thanks Bill. Now our operator will prepare for the Q&A session. Question And Answer
Operator: Thank you, sir. [Operator Instructions]. And our first question comes from Brannon Cook with JPMorgan. Go ahead. please.
Brannon Cook - JPMorgan: Good morning.
Timothy R. Wallace - Chairman, President and Chief Executive Officer: Good morning.
Brannon Cook - JPMorgan: So question about the railcar margins as we look forward to 2008 understanding there are some pricing pressures there. Do you see your mix of car types that you build... you are changing meaningfully from '08 versus '07 and what kind of expectations you have around new order levels, specifically with your demand for some coal car types?
Timothy R. Wallace - Chairman, President and Chief Executive Officer: Well, whenever you are in a moderate market, your product mix changes because you have to pursue what railcars are out there in demand. And Steve, you might want to elaborate on that a little bit.
D. Stephen Menzies - Senior Vice President: Well, we took orders again in the fourth quarter for a broader way of railcars. We are seeing similar demand continuing here in the first quarter of '08, specifically the coal cars we have seen improved demand for coal cars. And we expect that to continue through 2008 and into 2009.
Brannon Cook - JPMorgan: Just a follow-up to that on... you mentioned you are talking with your customers in the bio-fuel arena, specifically around ethanol. Are you seeing any firming of production plans of the ethanol producers given the energy bill coming online? We heard that in the marketplace there is a bit more visibility to some of that production coming online. What are you hearing from your customers about that?
Timothy R. Wallace - Chairman, President and Chief Executive Officer: Steve, you want to take that one?
D. Stephen Menzies - Senior Vice President: Sure. I think you have got first of all some digestion of... in the marketplace with the capacity that has been brought on street from the first wave of renewable fuel standards. And I think until that settles out, you won't see a real firming of plans to start to address a new further expansion of ethanol production to meet the higher renewable fuels standard. But this is a market that's going to develop over a long period of time and I think it's going through some natural cycles of a bit of a shakeout and you'll see some of the fringe players perhaps be absorbed. And then I think we'll see some renewed momentum in the market to build more plans and start to reach the higher production levels required by the renewable fuel standards.
Brannon Cook - JPMorgan: Okay. And then just finally on the structural wind towers, you've got the new Mexican facility coming online later this month, you mentioned. Could you kind of talk about how much incremental capacity that provide you in terms of percent growth of capacity for structure wind towers, and then also kind of how to think about margins of that capacity coming online? Should we think as that starts up, there is perhaps some margin pressure on the segment and then there is some margin momentum from that new plant as we look to the year?
Timothy R. Wallace - Chairman, President and Chief Executive Officer: Brannon, I think it's from the new plant coming online, that's why we went ahead and gave guidance for the full year on wind tower business. So, incorporated in the $380 million for 2008 is that plant coming online. I think with respect to margins, we said in past you will see some volatility in margins as we ramp up new lines and regain efficiencies. So we had a substantial improvement in the ramp pace and gained efficiency throughout the wind tower business. So the guys are doing a really good job.
Brannon Cook - JPMorgan: Okay, thank you.
Operator: Thank you, we will take our next question from Paul Bodnar with Longbow Research. Go ahead, please.
Paul Bodnar - Longbow Research: I wanted to see what's your plan... how you are planning on executing the repurchase agreement throughout the year, and just the use of cash, I guess is related to that?
William A. McWhirter, II - Senior Vice President and Chief Financial Officer: Yes, this is Bill McWhirter. You are asking about stock repurchase agreement, I assume. The stock repurchase agreement comes from an authorization of $200 million over a period of two years. It's certainly going to be our policy that we will discuss what we have purchased in each of these calls and issue that data on our Q and our K rather than kind of pre-purchasing our uses of funds. Clearly, it will be a rational use of capital as the company weighs other opportunities for growth and investment.
Paul Bodnar - Longbow Research: So you'll basically balance that between building up the lease fleet and then any other opportunities out there?
William A. McWhirter, II - Senior Vice President and Chief Financial Officer: Absolutely.
Paul Bodnar - Longbow Research: And then secondly, I guess in terms of lease fleet in terms of what's coming up for renewal this year. I mean I know you guys have added to that. I mean any kind or guidance or what is going on sort of lease renewals that you said pricing is too good, because you are coming up for '02 and '04 is to meet your comp just a little color on that if you could.
Timothy R. Wallace - Chairman, President and Chief Executive Officer: Okay. Steve, do you want to take that one?
D. Stephen Menzies - Senior Vice President: Sure, Paul we don't comment on our specific renewal exposure, but again our 5.5 year average remaining lease term gives you some indication that we have a very fairly small number of cars coming up for renewal in 2008 and in 2009. And again, we think that longer average remaining lease term does provide us a hedge against the market downturn as we might be experiencing presently.
Paul Bodnar - Longbow Research: In terms of the leases, what kind of mix of cars you have going currently? I mean is it a pretty even break down or is it a way towards the ethanol cars or some of those that you pushed out to '09 or I guess anything else on that?
D. Stephen Menzies - Senior Vice President: We have a very diverse fleet, and we monitor our fleet diversification very closely, so that can we can provide balance. And that's certainly something that the financing institutions look very closely at as we go to market. So, we are very pleased with the diversification of our lease fleet.
Paul Bodnar - Longbow Research: But as part of your backlog, is there any way towards anything towards the ethanol compared to tank car, the 30,000 gallon tankers or anything else in particular?
D. Stephen Menzies - Senior Vice President: Well, there are ethanol related cars in our backlog. We don't give the specifics of the break out of our backlog, Paul.
Paul Bodnar - Longbow Research: Okay, thanks.
Operator: And we will next go to Todd Maiden from BB&T. Go ahead, please.
C. Todd Maiden - BB&T: One question regarding the stimulus package it's out there. I think it's improved given the bonus appreciation element, what material uptick do you think you'd see across your different business segments and which segment do you think would benefit the most?
Timothy R. Wallace - Chairman, President and Chief Executive Officer: Bill, you want to try to respond to that?
William A. McWhirter, II - Senior Vice President and Chief Financial Officer: Yes, thank you. I think anytime you get a bonus depreciation bill out there and a stimulus package, it continues to bode well for people, who produce capital goods such as Trinity does. So I think it's a little hard for us to tell you, which line of our business that will impact the most. But generally speaking across all of our products we would find that favorable.
Timothy R. Wallace - Chairman, President and Chief Executive Officer: Steve, you have comments on that?
D. Stephen Menzies - Senior Vice President: Yes, just to add, we've had specific discussions with some customers looking to opportunistically replace the fleets upgrade some older cars and it seems to be tying nicely under some of the production boards that we have in our plans for 2008. So, I guess early indications are we think the bonus depreciation could be a positive to our railcar business.
C. Todd Maiden - BB&T: All right, and then what would we expect to see or if you could give us any color on what we might see from a change in your CapEx structure?
Timothy R. Wallace - Chairman, President and Chief Executive Officer: I think our CapEx at this time, the 180 to the 190 in our manufacturing business is the guidance.
C. Todd Maiden - BB&T: Okay.
Timothy R. Wallace - Chairman, President and Chief Executive Officer: And $650 million to $750 million on a leasing company is the guidance. So pretty strong CapEx program as we go into 2008.
C. Todd Maiden - BB&T: All right, and then one other question; construction products division. I know we've obviously seen weakening in the housing sector across the country, but Texas has been somewhat of a lagging market. I know there's been a little weakness there, but what are you looking at as far as aggregates concrete construction products going out the next 12 to 18 months in Texas?
Timothy R. Wallace - Chairman, President and Chief Executive Officer: Yes, I think the Texas market has held up pretty stable particularly from a residential perspective. We are pleased with the business. Last year, we made some pretty good moves in sharing our portfolio little bit. We divested some business that weren't good fits acquires of business that were even better fits. And you start to see that in the fourth quarter we have little incremental movement in revenue, but a better movement in the margin line. So, we look for a lot of things from our construction group.
C. Todd Maiden - BB&T: Okay, thank you very much.
Operator: [Operator Instructions]. We'll next go to Lynn Clariton from H.E. Wellington [ph]. Go ahead, please.
Unidentified Analyst: Okay. The tax rate went up from about 34% to 39% quarter-to-quarter; if you could detail a little color there. And also perhaps a detail on the end market shift that's underway in the railcar business, hopper cars versus coal cars et cetera.
William A. McWhirter, II - Senior Vice President and Chief Financial Officer: Okay, this is Bill. Why don't I take the tax rate and I will pass off to Steve on the railcar question. Third quarter tax rate was reasonably low as a result of some state tax law changes in Texas. As we mentioned, fourth quarter reflects kind of more of a year-end true-up movement. So, a better answer for tax rate Trinity as a whole is probably in the 37% to 38% ranges as we look at the business.
D. Stephen Menzies - Senior Vice President: Lynn, this is Steve Menzies. I don't know there is a shift from covered hopper cars to coal cars. We are seeing additional demand for coal cars or recovery in that market albeit a bit slow, but it's happening. The demand for covered hoppers, we are seeing largely replacement. We are seeing opportunities to bring larger more efficient more railcars into the system and replace older less efficient cars. So, really those things are happening in parallel as opposed to a shift from one to the other.
Unidentified Analyst: So there is growth in coal cars, but it's slow and hopper cars, it's mostly replacement.
D. Stephen Menzies - Senior Vice President: Yes.
Unidentified Analyst: Okay.
Operator: Thank you sir. Our next question comes from us Steve Barker from KeyBanc Capital. Go ahead please.
Unidentified Analyst: Good morning guys. It's actually Joe Baptist [ph] filling in for Steve. I am just wondering if you can talk quickly about your, the current funding environment that you are seeing for highway construction. And how you think it might impact your construction products business in 2008?
William A. McWhirter, II - Senior Vice President and Chief Financial Officer: Yes, this is Bill. Current lending for highway SG&A [ph] has been slower than we've anticipated... we've been talking about that, I think, now for three, four quarters and certainly we hope that [ph] that the funds will continue or start to flow at a higher rate, but right now business performs well and we'll prepare for the upside should we see more funds flowing out of the system.
Unidentified Analyst: Okay, on your last call you guided between 7,100 and 7,300 railcars you expected to deliver. Can you tell us about maybe where the majority of the delta was from your actual deliveries in 4Q?
Unidentified Company Representative: Yes, in a market like we're in where it's moderating, as I said earlier you have some production shifting and flexibility issues. And Steve, you might talk about what's happened in that part of the business.
D. Stephen Menzies - Senior Vice President: Joe, really, what we had are some timing issues that just really shifted from the end of the quarter and we will see some of that made up here in the next quarter.
Unidentified Analyst: Okay, and finally, can you just talk about your raw material cost expectations for 2008. Any potential pass through mechanisms that you have particularly for steel, and is there typically a lag between when you can implement those increases.
William A. McWhirter, II - Senior Vice President and Chief Financial Officer: Yes, this is Bill. We continue to talk about it as a cost coverage inside the company, cost coverage inside the company. Cost coverage from our perspective is sudden business with escalation provisions developing current contract relationships with our suppliers as well as using our inventories on perhaps... while we are seeing some upward movement in certain steel pricing and commodities, we do have a pretty good cost coverage program throughout the company that I am pleased with.
Unidentified Analyst: Thank you guys.
Operator: And we'll next go to side of Jaus and Prague [ph] from Atlantic Investment. Go ahead please.
Unidentified Analyst: Good morning just in terms of the tax going forward, what should the cash taxes look like compared to that book tax rate of 37% to 38%?
William A. McWhirter, II - Senior Vice President and Chief Financial Officer: Well Charles, we are not going to give guidance on a cash tax rate, our pay comes up this morning and we are not giving deferred taxes for the year, and the leasing company continues to provide accelerated depreciations and accountings, so those are due to the drop [ph] but I can't provide a guidance on a cash taxes.
Unidentified Analyst: Okay.
Operator: [Operator Instructions] We'll next go to Timothy Jones from Wassman [ph] and Associates. Go ahead please.
Unidentified Analyst: Good morning. You talked about that you have some holes in your anticipated production in railcars in the second half relating to renewable trail segment customers deferring their orders to 2009. Roughly what percentage of your second half shipments does that represent and do you think that there is change in the depreciation and so forth and the customers you talking are can fill that up?
D. Stephen Menzies - Senior Vice President: Yes, as I mentioned in my remarks. This is Steve, Jones, as I mentioned in my remarks that... I am sorry, Timothy, as I mentioned in my remarks, we have gone through our backlog and looked very closely at our backlog related to renewable fuels and have firmed it up. We think what's in our backlog after '08 is solid. It actually gives us a good visibility into 2009, in particular, for production of covered hopper cars and tank cars related to renewable fuels. And so we think we've rationalized what's going to happen there. The interesting thing is those holes now provided us opportunity to sell different types of cars to other customers and thus far we've been very successful doing that.
Unidentified Analyst: Will the margins be well relatively comparable or is that part of the reason that you have taken your margin guidance down to 8% to 10%.
D. Stephen Menzies - Senior Vice President: Well I think Bill gave you margin guidance for the overall rail business and that in the quarter and that takes that into consideration.
Unidentified Analyst: Yes I would think so. Okay, no one ever talks about the poor Barge business. I just want to understand how the backlogs in this business are up 62%? I was under the impression that it was a nice little business but it was fairly mature?
D. Stephen Menzies - Senior Vice President: Well, we love the Barge business and our Barge group is performing outstanding and we're extremely proud of the job that they're doing and we've accomplished a lot of the investments that we have put, have put in capital investments over the last three to four years in this business, as you can see are paying off and that's why we got, we have a... we're continuing to put capital into our Barge business and our other businesses to generate productivity improvements and expansion.
Unidentified Analyst: I'm pretty sure the internal growth rate of the Barge business isn't that high. Could you give me a rough estimate of what your market share has done in the last three years or so forth; I am sure it's quite impressive?
D. Stephen Menzies - Senior Vice President: We... there is not an industry, organization that tracks all the deliveries and shipments and everything in Barges like there is in rail car. And so we don't have precise numbers. And we don't really focus on market share in that business, we focus on receiving orders that's going to enable us to obtain the productivity improvements that we have been obtaining and continue our lines as long and as smoothly as possible.
Unidentified Analyst: So, it's a function of you putting more trying to develop better more, more efficient products in your competitors with these innovation and R&D then?
D. Stephen Menzies - Senior Vice President: Well, not so much innovation and R&D in the particular product, it's more about internal productivity improvements inside of our plant operations. Trinity historically has been, has a high level of competency and have demonstrated this that we get large backlogs of orders and we get repetition working throughout our factories. We're able then to extract some additional productivity through a number of different initiatives that we have. And right now in our Barge group as an example there are some productivity initiatives taking place with some lean activities and some other similar type activities occurring.
Unidentified Analyst: Okay, well, thank you.
Operator: [Operator Instructions] All right, sir, it appears there are no further questions at this time.
D. Stephen Menzies - Senior Vice President: Thank you, Calan [ph]. This will conclude today's conference call. Remember a replay of this call will be available starting one hour after this call ends today through midnight, Thursday, February 28th. The access number is 402-220-2650, also this reply will be available on our website, at www.trin.net. We look forward to visiting with you again on the next conference call. Thank you for joining us this morning.
Operator: Thank you ladies and gentlemen, this does conclude today's teleconference. You may disconnect at this time.